Christopher Laybutt: Okay. Good morning, everyone. It looks like we've got most people dialing in. So terrific. Thank you. Thank you very much, and good morning. Welcome to the United Utilities Fiscal '26 Interim Results Q&A session. My name is Chris Laybutt, as you all know, and I'm delighted to play the role of host for this session. Today, I'm joined by Louise Beardmore, CEO; Phil Aspin, CFO. We'll stick with the usual format.
Christopher Laybutt: So if you'd like to ask a question, please raise your hand or shoot through an e-mail or a Bloomberg. And I think leading us off this morning is Julius. You were first off the rank. So please go ahead.
Julius Nickelsen: I guess 2 for me. The first one is you mentioned in the presentation that like the emergence of new investment drivers that I think there's also PFAS mentioned on the slides. So just wondering, are you referring to this more like after AMP8, like into AMP9? Or is that something that we could already see now through the reopeners in AMP8? And if so, give you us any indication on how sizable that could be? And then secondly, I mean, given that I'm the first on the line, obviously, I have to ask on your expectations on Cunliffe and the white paper that comes out in December, just in terms of like which recommendation do you think we'll be taking? And what's the process? What's the time line? Any color would be appreciated.
Louise Beardmore: Fantastic and nice to see you this morning, Julius. Thanks for the question. Let's take the reopeners and the growth first. I think as we went through AMP7, there were a number of opportunities for additional growth items. We saw that with green recovery. And we've been really clear both when we spoke to the capital markets and also in terms of interactions with regulators that we see lots of opportunities for growth drivers as we move forward, both in terms of additional housing, new legislation that's coming through, whether that be new drivers that we can see emerging data centers, additional areas of growth from the government. And we are engaging with regulators, as you'd expect us to in terms of those opportunities, and we expect them to play through just like they did in AMP7. You're absolutely right with AMP8, there were a series of reopeners that were actually stated in addition to those and they're particularly around asset health and the opportunities to drive asset health improvements. And so we are engaging with regulators with those conversations. In relation to Cunliffe and the white paper and the time line for the white paper, I think, look, in terms of when the recommendation of the report that came out in the summer, there were lots of recommendations, 88 in total, many of which very investor-friendly in terms of the things that Cunliffe was promoting and suggesting. And we're now obviously waiting for the government's response. We expect that to be in December. But what I think is probably useful is to just look at what am I seeing and feeling in relation to intent. And I think there's a couple of things I'd point to. The first is Emma Hardy, when she spoke at the Moody's conference, was very, very clear about her desire to drive those recommendations and also for the white paper to be out before Christmas. I met with Emma Reynolds last week as the new Secretary of State. And again, she is very, very clear. She's picking up the recommendations. She's driving those hard with the team in terms of coming out with both the white paper and the implementation plan. And also, you may not see, but she was also at the EFRA Committee this week. And again, on record was very clear about her intent in terms of driving those recommendations through. So I think what we can expect to see in December is that white paper and transition plan. And at the same time, I think what we're also expecting is that we will also see a strategic policy statement for both Ofwat and the EA.
Christopher Laybutt: Okay. Thanks very much, Julius. Jenny, over to you.
Jenny Ping: Two questions. One, just around politics. Obviously, we're getting more and more noise around the energy side in terms of government treasury want to do something deflationary on bills on the energy side. Are you thinking or hearing anything with regards to water, any noise there in terms of support on the affordability aspects? And then just coming back on the uncertainty mechanism, is there any firm time line in which you will be going to Ofwat to apply for the reopeners? And what should we be watching out for on sort of getting the clarity on the size of potential investments there?
Louise Beardmore: So look, to pick those up in order. I think the first thing I'd say is from a bills perspective and a cash performance perspective, I've been really pleased actually with the way that cash performance is maintained with the increase that we've seen in bills. Team have worked exceptionally hard. We've doubled the number of customers who are on affordability schemes, et cetera. So we've not seen any degradation in cash performance. In fact, it's held extremely strong, and that's down to the way that, that's been managed. But one of -- Sir John's recommendations was very clearly the need for a national social tariff. And again, we expect that to come through as part of the white paper. You know that, that's something that United Utilities has long pushed for and is something that would be an extreme benefit, particularly in terms of here in the Northwest. So we continue to influence and discuss how that could look as we move forward. So I'd expect that we may well see some movement on that or clarity on implementation of that as the white paper comes out. In relation to the uncertainty mechanisms, the conversations are ongoing. You know as well as I do what our CapEx profile looks like. It goes up and then it comes down either side. It's in everybody's best interest to smooth that out. We've talked about AMP9 and AMP10 and what we can see coming with the Environment Act legislation, along with everything else that we can see. So it's in nobody's best interest to have a CapEx profile that looks like it does. And again, there were opportunities last time around, particularly in terms of things like transitional investment and the green recovery, and we expect those to play through. So conversations are ongoing.
Christopher Laybutt: Okay. Thank you, Jenny. Sarah.
Sarah Lester: Yes. Sorry, just to come back to the white paper. I think it's going to be a massive document, a lot of noise in there. So just to make it really simple for us, please. Three simple questions. What specifically should we be looking for? What will you be looking for? So if we can do a control find, is there something you can point to that if we see it, we can go, okay, this is good for you.
Louise Beardmore: Sarah. I'm probably not expecting it to be hundreds and hundreds of pages long. So just to give you an indication, I think it will be thematic in terms of what comes forward and what they are proposing to set out. I think we're all clear that we want to understand what the regulatory regime looks like as we go forward, how that's going to be managed and how that's going to be coordinated, what supervisory regulation starts to look like and more importantly, essentially what the structures and the time lines look for as we move forward. So I think what we're all looking for is exactly the same thing, which is clarity around the time scales and what that transition plan looks like. So I think it is not going to be hundreds and hundreds and hundreds of pages long. I expect it to be thematic to set out the direction of travel, the things that they're taking forward and at pace. I also think it's important to point out, there's a number of things that can be done without legislation change. And again, I think I'd be looking to see how much of that, that they're making a commitment on and moving on ahead of any of those legislation windows as well.
Christopher Laybutt: Terrific. Thank you very much, Sarah. Pavan.
Pavan Mahbubani: I have 2, please. Firstly, I'd like to ask about the EPA and the 2-star rating from a few weeks ago. I can imagine you found that outcome, sorry, disappointing. And I wanted to just get a bit more color from your perspective on what drove that rating and whether you see there's anything in your underlying performance that you think you need to reprioritize? And on a related question, can you provide some color on the potential EPA reforms that we should be seeing in terms of those ratings in the coming years? That's my first question. And then secondly, I wanted to ask about funding and the balance sheet. Can you remind us if you see yourself as fully funded for AMP8? And does that change in a scenario where you have additional, whether it's reopeners or transition spend? And how should we think about your balance sheet and funding options, particularly as we look into AMP9 and beyond?
Louise Beardmore: Thanks for those questions. I'll take EPA, and I'll hand over the balance sheet to Phil. So I think first things first in terms of EPA, yes, we're obviously disappointed. But we are the second highest company in terms of EPA performance. So 13 out of a possible 16 stars for this EPA period. The underlying performance remains on track. What we have seen is a change in methodology and particularly in relation to definitions on pollution. So things that were driven by both storms and power interruptions are now included in EPA. 1/3 of our pollutions are actually caused by issues with energy resilience that we're seeing up here in the Northwest. And there are 2 drivers to that. One is storms and the fact that we're on an overhead network, and that's particularly a challenge in some of our more rural areas of Cumbria and Cheshire. And secondly, the balance loading that we're seeing between renewables and the grid. So we've got some real specific challenges. And actually, Phil Duffy referenced that himself just recently at the EFRA committee, and it's something that we're focused -- very focused on both in terms of what could we do, but also working with the energy companies as well because I need to see better levels of resilience in terms of driving those improvements. We are extremely focused though on what it is we need to do. I'm really pleased to see the improvements that we're seeing in terms of combined overflow reductions, some of the areas of focus where what we're actually seeing is some of the early investment that's going in and more importantly, the improvements that we're seeing as a result. You're absolutely right. We now have a new methodology that is being consulted upon. That sees a series of changes again, most notably a change in categorization of pollutions. So currently, we have pollutions categorized 1 to 4. It's categories 1 to 3 that count for EPA. Going forward, there will be no category 4. That will all become category 3. So again, it's going to be another change. So I think we're going to continue to see the methodology change and evolve. That's out for consultation at the minute. And United Utilities, along with lots of others will be making obviously representation about its implementation. But I think what is -- there is some good stuff in the EPA too. It's going to, for example, include details about combined overflows. That's not included at this minute in time, and I think that's important. And I think what is important is anything that drives greater transparency is something that we all embrace, but we do need to understand when methodologies are changing because as a result of that, what's important is that we're tracking underlying performance, and we can see where that's improving and more importantly, if there's areas that we need to focus. So the results of the consultation are due to be published early next year, and then that will drive in terms of the implementation of the new methodology. I'll hand over to Phil in relation to balance sheet.
Philip Aspin: Nice to see you. Yes, sort of as you know, we've got a very, very strong balance sheet. So today, we're reporting 60% for net debt to RCV gearing, benefiting slightly from a little bit of an inflationary tailwind at the moment. So that's sort of feeding into the numbers a little bit. And as you know, we're very comfortably within our 55% to 65% range as we look through this AMP in terms of the funding of the AMP8 program. And it's probably worth just reminding you that the headroom extends beyond that because the Moody's Baa1 threshold is 68%. So there's quite a lot of flexibility there. Clearly, in terms of any reopeners, there'll be a lot of discussion around the context, the scale, the size of that, how Ofwat may or may not fund that in period, in-period revenues. So there's quite a lot of moving parts to all of that. But I think we're approaching that from a really, really strong position. And then just longer term in terms of AMP9, clearly, we all expect a lot of funding, a lot of investment continuing into AMP9. But we also are very, very positive around the Cunliffe recommendations in the context of Cunliffe calling out the need for the sector risk profile to be looked at. And I think specifically, you cited the Moody's work that has been done where effectively, they progressively downgraded the quality of the regulatory framework over the last 2 price reviews. So if we have some reversal of that, that will extend that sort of capacity as well. So as a reminder, if we were to revert back to a Moody's position that was more in line with energy, then that 68% will become 75%. So that's worth bearing in mind. There's a lot of moving parts and understanding how that price review in the future lands is going to be a big part of that as well.
Christopher Laybutt: Thank you, Pavan. Mr. Freshney.
Mark Freshney: Myself, you hear me okay?
Louise Beardmore: We can now.
Mark Freshney: Can I ask on -- went to the hypothetical of the hypothetical when we're talking about the white paper next month. But I mean, it's clear that normally, I mean we're already starting to talk about AMP9 now. Normally, the next review should start next year, right? The regulator should -- once they're done, CMA should be moving across to the next review. Yes, the primary legislation is probably not going to be done next year for the Cunliffe implementations and then the regulator has to be set up. So it would seem that at some point, we may be looking at a rollover review or a 1- to 2-year, likely 2-year extension of this review. What are your thoughts on that? And the reason I would ask is because your returns have been fixed relative to what CMA and Ofgem are doing at fairly low levels. And this review doesn't appear -- we're yet to see outperformance. So I'm just wondering what you guys would like to see on any potential rollover review and what your thoughts are there?
Louise Beardmore: Thanks, Mark. I think there's 2 things. I mean, obviously, we've guided to 100 basis points of outperformance. But just in terms of the 2 years versus 5 years in terms of the regulatory cycle, I mean, I think what matters for us is that any growth that we have to deliver is facilitated. So whether that be within a 2-year or a 5-year cycle. And we've got very strong relationships with our regulators. And I think what's important is that we get clarity over the funding mechanism. And I think it probably brings me back to one of the questions that Sarah asked me in terms of what am I most looking for in terms of the white paper is clarity around some of those time scales actually and how that evolves over time. And I think that's something that we're all looking for. CMA obviously, will publish its final outcomes in March. And I know there's already a lot of conversation going on with DEFRA, with the Cunliffe implementation team about both the regulatory cycle and some of the inputs in, particularly in terms of the long-term strategic plans for both water and wastewater. So I think we're all looking for that clarity on that time scale. But I think what's important, whether it's 2 years, 5 years, a rollover or whatever, is that the growth that is to be delivered is facilitated and recompensed accordingly.
Christopher Laybutt: Terrific. Thank you, Mark. Mr. Nash.
Unknown Analyst: A couple of questions from me, please. Firstly, can we go back to the CMA. They published in their initial findings what I thought was quite an interesting study on coming up with a new sort of frontier modeling sort of tool for your totex. And usually, at this point, I'm usually in front of you going, Louis, why did you not appeal the FD? And on returns, maybe clearly, you would have got higher, but the totex one was a bit of an eye opener for me because it looked to me that they seem to think that Ofwat had awarded you more totex than they would have given you if you had a CMA appeal. And so the question I've got for you on that one there is that how -- how much indication does that give to us or how much does it give to us potentially that you could be -- you should be coming in line more with the CMA number than the Ofwat number and that we could probably see a totex outperformance come through? Secondly, I like your term, I think, environmental super cycle that you have in your presentation. And you talk about PFAS. There's very little in PFAS in AMP as I understand it in spend. And I know we had a couple of questions earlier about your reopeners, but I'd be interested in what sort of scale -- what actually is the scale of the reopeners that we could potentially look and particularly with things that aren't in AMP at all like the PFAS one. I mean I've been reading some reports that the industry could be up to sort of GBP 10 billion a year of PFAS that's clearly across the whole country, but does have a reasonable PFAS exposure. So some color on that would be great.
Louise Beardmore: Great. Thanks, Dom. So look, I think first things first in relation to CMA. The decision that we ultimately made was around the overall package rather than each individual item. And we've talked quite a bit about that. Obviously, it's remembering that going to the CMA opens up everything, not just the particular item that you may be appealing. And we felt that the FD for us was balanced. We saw significant movement between the interim and final position, particularly on totex allowances. And we were able to negotiate some company-specific targets on things that were important to us, both in terms of combined to overflow spills, internal flooding and also some changes to the economic models in relation to rainfall patterns. So those were things that were really important. You're absolutely right to say that when you look at some of the outcomes from the CMA, there is a number of companies where when you look at the models that they've run, they've suggested a different totex allowances. I think everybody always points to models and sort of says, well, they're very, very simplistic. And I'm sure that's what the economic regulation teams will be saying too, particularly in terms of some of those broader conditions that those models need to take into consideration. And I think what is important that is something that Cunliffe brought out in his review is that you need to understand the regionality in the context of which you're operating on. So I'm expecting there to be lots of representation on that, Dom, as part of the response that's gone back in from companies. In relation to your questions about low, should that give us some confidence about totex outperformance? I think there's 2 things. One is, look, we've got a number of transformation projects growing -- running where we are driving transformation in relation to totex delivery. And I talked at the Capital Markets Day, particularly around driving standard assets and standard deployment as a way of managing costs and managing costs within profile. I think long of the days have gone where you can deliver big totex outperformance and not continue to reinvest in your assets. There's always more that needs to be done. And so I think it's incumbent on us to continue to do the right thing. But rest assured, there is a huge focus on cost and cost delivery. In relation to the scale of the reopeners, look, PFAS is one that's talked about. And there's both obviously PFAS in water, and we've got 2 projects in there. You may have seen something on the BBC recently about well, what are these projects and one of these notices. That was the regulatory notice to enable us to access the funding to get those projects in and they're purely precautionary. But there's a couple of elements. One is PFAS in the actual water supply itself, but also in terms of biosolids. And that is an area that is continuing to emerge and evolve. We're also seeing quite significant increases in relation to housebuilding in terms of new housebuilding targets. My -- our previous Secretary State, who's now got the housing portfolio has just announced 10 cities, 2 of which in the Northwest region. So it's really an emerging and changing picture as we go through. In relation to scale, it's a bit hard to scale at this moment in time. And I think -- but rest assured, those conversations are ongoing with the regulator on those topics, driven by those areas that they're focusing on growth. We've had 35 applications, for example, for data centers. There is a huge volume of additional work that we're seeing in terms of demand, and we're now working through and prioritizing that.
Christopher Laybutt: Thank you, Dom. And last but not least, James.
Unknown Analyst: Very kind. A couple of questions. Firstly, on reopeners. There's been a couple of questions already on reopeners. But -- and I guess this has been touched upon a little bit. But I was wondering whether you had any visibility on how the split might look for reopeners between fast money and slow money. Obviously, the biggest theme in a way in Cunliffe was spending more on maintenance of assets. So maintenance CapEx is normally treated as OpEx. So maybe that points to a bit more kind of fast money bias, but maybe you could share some thoughts on that, if that's possible. And then the second question was just touched upon. I can't believe I'm at the end of the queue and has asked this already, but the topic of the moment data centers, which you just mentioned, you had a lot of applications. Obviously, data centers use a lot of water. Could you talk us through how we should be thinking about data centers in the context of United Utilities. Is this going to be a big driver of investment for you of demand? You mentioned the applications. Are they ones that are likely to be progressed in the near term? Or is this further out, that would be super useful.
Louise Beardmore: Great. Thanks so much, James. Do you want to pick up the sort of fast and slow money and I'll pick up on data centers, Phil?
Philip Aspin: Yes James. So I mean, as I alluded to with Pavan, the split of how Ofwat intend to fund any reopener is clearly one of the things that we'll have to consider in terms of how that impacts funding, et cetera. And clearly, a lot of the investment would go into CapEx and would typically be slow money. But clearly, we'll be pushing to make sure we've got the right balance between fast and slow in the context of what that means for financial ratios and the performance of the business. And as always, that Ofwat will be looking to balance that with the impact on customer bills in the near term as well.
Louise Beardmore: And James, just in relation to your comments about data centers, look, they're all at various different stages of maturity. We've done 2 things. We've sort of identified areas in the region where we have spare water capacity. They're not necessarily always aligned with areas where people want data centers, but we've done a huge amount of work in that particular space. But in relation to the data centers that we're seeing, it also generates an opportunity for us as well. So how can we potentially use storm water in terms of those -- the cooling that is required. So if you think about combined sewer overflows and the challenge that I have and the fact that our sewers are never more than about 15% to 18% fall, the challenge we have is one of rainfall, and we have the highest combined rain network in the U.K., there's a significant opportunity here for how we potentially think about this slightly differently. So there's some really interesting engineering that's happening in this particular area as well. But they are all at different areas of maturity. There are certain areas where we're going to have to put in additional water resources to provide the capacity that is actually needed. But I also think it's a bit of an opportunity for the U.K. to think fundamentally differently. And we're working with a number of international organizations looking at how can we use -- there was an awful term in the sector called final affluent. But in other words, what's come out of your treatment works then gets returned into the environment, how could we use that? They don't necessarily need potable water. So just looking at this differently from an engineering perspective as well. So there's a huge opportunity in there for us to both innovate at the same time as growth infrastructure as well.
Christopher Laybutt: Thank you, James. Back for another bite, Mr, Nash. Yes, we can't hear you, Dom.
Unknown Analyst: I'm trying to make sure it overruns, Chris, as much as possible. Yes. One question from me, please. Supervisory regulation. Clearly, we are in some negotiations with the regulatory bodies and governments as to how that will work. What sort of options are you potentially looking at? And/or what would you like to see to come out of supervisory regulation? And do you see it as a potential sort of hindrance or a help in the way that you're actually going to perform your functions going forward?
Louise Beardmore: Look, Dom, I see it very much as a help. There is a regionality about these businesses that we run, both in terms of the context of the infrastructure and even within region. You've heard me talk about the fact that we've restructured the business to be across 5 countries. Merseyside has got 84% of its wastewater system is a combined system. It's on the West Coast. Those storms hit it every single day. Even within region, it performs very, very differently. And I think regulation that understands the context of what's going on within a region, what those local priorities are, the ability to understand both the performance of the assets and the cost base is hugely important. Sir John talked a lot about moving away from notional models and the need to really understand those cost drivers, and we're hugely supportive of that. We saw the benefits some of that from the work that we did in AMP and particularly the allowances that we got in relation to some of the rainfall patterns we're seeing, CSO targets and things like that. But this moving away from this ability to just think of something being notional and really understand and both supervise and regulate accordingly, I think, is something that we would really, really encourage.
Christopher Laybutt: Thank you very much. Next, Ajay.
Ajay Patel: Look, I get the argument of like the scope and need for more CapEx and an improving return profile even for the sector. But the bit that always seems to be at [indiscernible] is the affordability and how this clashes with those aspirations in some respects. I'm trying to understand where -- what do you need to see happen in regulation to ensure that these are more aligned with each other? And not a series of a case of we move 5 years from now, we're asking for higher returns. We're asking for more investment, but there's a consequence of higher bills and the clash with that. And ultimately, it just adds to the risk to the sector.
Louise Beardmore: Great question. And I think some of this comes back to what Jenny said a little bit at the beginning in terms of what needs to happen. We have seen a level of resilience as bills have increased, but bill increases are a challenge. And I think does a huge amount in relation to affordability support. We've doubled the number of customers that we're helping. But I think that is where a national social tariff can really play its part because I've been very, very clear that water is the only sector that doesn't have that level of universal support and that isn't right. From an energy perspective, we have warm homes discount. It isn't a postcode lottery according to where you live. And therefore, it won't surprise you that I continue to advocate for that because to some degree, that provides some additional capacity that's absolutely required. I think the other thing to remember is we all got really strong customer support in terms of the bill package that was put forward. So 3 and 4 customers supported the increase in bills and more importantly, the improvements that they would see as a result. And so I think it's also about making sure that you're spending customers' money wisely that we're driving efficiency, we're driving innovation. But at the same time, there is a cost and there is a cost for the infrastructure that's needed. And we are seeing the impact of climate change in a way that continues to evolve and to grow. And as water companies, it's essential that infrastructure is in place so we can enable a growth that we want to see, whether that be new housing targets or industrial growth targets. But at the same time, how do we make our assets more resilient. And just to give you an indication of some of the things that we're seeing, you may have heard on the news last week, there was a train that derailed up here in Cumbria, but I saw 8% of the annualized rainfall for the year fall in 1 day just in Cumbria. So the volume that is coming at us is very much changing. And the infrastructure is going to have to change and evolve to be able to cope with the climatic patterns. So I think that national social tariff is going to be key in terms of how do we maintain that balance.
Christopher Laybutt: Terrific. Bartek.
Bartlomiej Kubicki: I hope you can hear me well. Just to maybe talk a little bit about how you have started AMP8 in terms of the potential outperformance. Obviously, you have given a guidance on ODIs in year 1. But I just wonder, if we think about your latest debt issuance, where do you see the cost of debt versus the benchmark, meaning what kind of implied outperformance or underperformance we have here? And also similarly, if we think about your totex performance, are there any surprises to the upside or to the downside so far into AMP8 versus the allowances in terms of costs inflation or in terms of CapEx inflation? And maybe lastly, also on ODIs. Obviously, for FY '26, we know it will be negative. But shall we expect FY '27 to be already positive in ODIs? Or it's too early to say?
Louise Beardmore: Bartek, do you want to pick up the first 2 and I can pick up on ODIs, Phil?
Philip Aspin: Yes. So just picking up on the debt side. So your question was around how we're performing in terms of recent debt issues, Bartek. And I think probably the simplest thing is to refer you back to our Capital Markets Day slide that we sort of tabled where we showed how our performance was tracking against the Ofwat index. and that was a very, very positive position. And I'm pleased to say that existing debt issues that we've issued in this half have continued to perform in line with the expectations that we had at that time. So basically continuing to perform as we expect. On the totex side of things, I think Louis has already touched on this a little bit in the context of Dom's question around totex outperformance. And I think we are very focused on managing our cost position and living within the totex envelopes. We don't particularly see huge scope to outperform. So I think there, that's probably all I'll add to the totex position.
Louise Beardmore: In relation to ODIs, Bartek, I mean, I think we've been really clear in terms of we put the 100 basis points on the table. We see that coming both from financing outperformance, ODIs and PCDs. There are some ODIs that are in penalty this year, some that are very much in reward. And we're very clear we're driving against very hard against targets. Obviously, as the infrastructure goes in the ground, you start to see the benefits of that and those ODIs continue to build. We've made a really great start. So for example, on leakage, we'll deliver a leakage benefit this year alone that was bigger than what we delivered last AMP. So there's some real great progress and work that is happening, but they continue to build as we go through the AMP period.
Christopher Laybutt: Okay. Heading back to Julius with a...
Julius Nickelsen: I'll try and go for a second. Maybe just on the last point on ODIs you've seen some improvement in the first half year, but could you maybe give us some indication how much of that is driven by weather? And then maybe also, I mean, the guidance hasn't changed overall on the net penalty. But has there been some change given that we had like some warmer weather this [ far ] that there will be maybe some improvements on the waste side? Just some color.
Louise Beardmore: Yes. Thanks, Julius. I mean, look, we've been really clear that we expect that we will be in a penalty position for this year, but they build over the AMP, and we will be in a net reward position over the AMP period. The weather, although we have seen some dryness to the weather, we've seen some significant storms, too. So there are some areas we've made great progress and great delivery where we're seeing real improvements. We've made great strides in all of our customer service targets. We're in reward on all of those. We will deliver our targets this year in terms of CSOs, for example. And we've seen some other areas where we've got challenges driven by some of those storms. So it is a series of ups and downs. And as infrastructure goes in the ground, we continue to see that build and that delivery. But we are extremely focused on driving the benefits and that contribution to the overall 100 basis points.
Christopher Laybutt: Okay. Thank you. Thank you very much, Louise, and thank you, everyone, for joining today. As always, if you have any follow-up questions, please feel free to reach out to the team and all of the materials that Phil mentioned are on the website in relation to the CMD. I'll hand back to Louise.
Louise Beardmore: Brilliant. Thanks, Chris, and thanks very much to everybody for joining this morning. I suppose just to summarize really, we've made a really great start to the first year of the AMP, really strong operational and financial performance. The AMP program is going really well. I'm really pleased with the way that the organization and the supply chain have mobilized, our CapEx is all in line with expectations. And we feel that we're really well positioned to -- as we move forward in relation to the transformative period for the sector. So thank you so much for joining us this morning. No doubt, we will get the opportunity to speak in the coming days. But I know there's a lot going on and it's busy, but thank you so much, much appreciated.
Philip Aspin: Thank you, everyone.